Operator: Good morning and welcome to the Innovative Solutions and Support First Quarter Fiscal 2015 Earnings Conference Call. All participants will be listen-only mode. [Operator Instructions] After today’s presentation by management there will be an opportunity to ask questions. [Operator Instructions] Please also note this event is being recorded. I would now like to turn the conference over to Mr. Geoff Hedrick, Chairman and CEO. Mr. Hedrick, you may begin sir.
Geoff Hedrick: Good morning. This is Geoff Hedrick, Chairman and CEO of Innovative Solutions and Support and I would like to welcome you this morning to our conference call to discuss first quarter 2015 results, current business conditions and our outlook for fiscal 2015. Joining me today are Shahram Askarpour, our President and Rell Winand, our CFO. Before I begin, I would like let Rell read our Safe Harbor message. Rell?
Rell Winand: Thank you, Geoff and good morning everyone. I would remind our listeners that certain matters discussed in the conference call today including operational and financial results for future periods are forward-looking statements that are subject to the risks and uncertainties that could cause actual results to differ materially either better or worse than those discussed including other risks and uncertainties reflected in our company's 10-K which is on file with the SEC. I'll now turn the call back to Geoff.
Geoff Hedrick: Thank you, Rell. I’m pleased to report a profitable first quarter. Revenues for the first quarter were $6.7 million compared to $11.1 million in the same quarter. But the net income for the quarter was $594,000 or $0.03 a share. The gross margins were up reflecting the anticipated decrease in low breakeven margin on engineering and development revenues and our typical 50% or better margins on the revenue for product sales. As reported previously, the purported cancellation by Delta Airlines of their MD88, MD90 update program has had a significant impact both on our backlog and near term revenues. However, as we approach mediation we are confident that we will find a reasonable resolution in accordance with the terms of our agreement with Delta and will be reached. We believe we can substantially mitigate the loss of revenue and loss of opportunity due to key engineering resources for the program being applied for the last four years. We have adjusted our expense revenue reflect our anticipated fiscal 2015 order intake and revenue expectations. We remained profitable while establishing a model that will generate better margins, lower cost and we believe can lead to another profitable year in 2015. We continued to make progress in a couple of significant engineering development program the largest of which is a utility management system for the Pilatus PC-24 aircraft. Coupled with the Boeing 737 Classic aircraft, the Eclipse 550 and the C-130, we have several programs on which we anticipate production orders over the next several years. And we will grow both our revenue and our profitability. We are also looking at new programs that have been placed on the backburner as we concentrate our efforts on our existing engineering commitments and balance we will – we actually increased internally funded research and development spending this quarter reflecting our confidence in the multitude of opportunities we see before us. We also increased the marketing of our existing portfolio of products including the recently announced Boeing 737 Classic Flight Management System upgrade. As we continued to add to our portfolio of existing products such as the 737 FMS, we expand our addressable market and increase the opportunity to quickly generate production revenues that offer attractive margins. All of these efforts are geared towards capitalizing on our industry leading price per performance value proposition and anticipation of the imposition of more demanding regulatory requirements. In the near term intra-quarter book and ship business represents an opportunity to supplement the revenue generated from backlog. Historically, intra-quarter orders have been an important source of revenues and although it is not captured in our reported backlog at the same time we are ramping up on new program efforts which takes us somewhat longer to produce results. In addition, revenues generated from engineering programs currently under contract will contribute incremental margins. As we move through the year, you will also see expenses decrease, an action which we have implemented in light of our current situation together with better product mix that should yield improved margins, we are organized to remain profitable and grow although as previously cautioned quarterly results can be variable. Since we have always operated conservatively, we have the balance sheet and financial to strength to support our plan. Just a few weeks ago, we said that fiscal 2015 would be a year of adjustment, while there some changes remaining, we believe the first quarter’s progress has set us on a course to achieve our goals for the next year. Now, let me turn over to Rell for a detailed description of our financial performance.
Rell Winand: Thank you, Geoff. In the fourth quarter, we report revenues of $6.7 million compared to $11.1 million in the same quarter a year ago. The decrease primarily reflects the loss of a large engineering development contract, but also reflects last year’s strong product sales what has historically been our slowest quarter of the year. Despite the decrease in revenues, we generated net income of $594,000 or $0.03 per share including a $411,000 tax benefit arising from the retroactive restoration of the research and development tax credit effective January 1, 2014. In the first quarter product sales were $4.5 million, a decrease of $3.2 million from the year ago quarter, while engineering development contract revenue was $2.2 million a decrease of $1.2 million. As previously noted as engineering programs wind down we expect these revenues to decline over the course of 2015. While engineering revenue is typically marginally profitable, revenue from EDC contracts in the first quarter of 2015 were more profitable than a year ago, resulting in a contribution to margin. Consequently, although we expect engineering oriented revenue to decrease over the course of the year, we also expected to be less of a drag on margins. The result and with production margins in the 50% or greater range, gross profits in the quarter were 41% strongest in several quarters. Only gross margins of course can fluctuate depending amongst many factors including product mix and revenue levels. Total operating expenses were $2.6 million in the quarter a year-over-year increase of $200,000. As Geoff mentioned, internally funded R&D was up year-over-year and included a customer funded R&D over 35% of first quarter revenue was invested in new product development. Compared to a year ago, selling, general and administration were marginally higher primarily due to an increase in sales, commission and travel. In addition, the year ago quarter benefited from nearly $100,000 one-time reversal of a legal accrual. As previously discussed, we have taken actions to better align our cost structure with current business conditions and we should begin to see the full effect of these actions with second quarter operating expenses. We reported first quarter pretax operating income of $183,000 and with the addition of $400,000 tax credit net income was $594,000 or $0.03 per share. At December 31, 2014, the company had $14.2 million of cash on hand compared to $15.2 million at the beginning of the current fiscal year. In the first quarter, operation consumed tax of $726,000 primarily due to a $1.8 million reduction in accruals and payments of accounts payable. The company also repurchased $254,000 of stock in the quarter. Over the course of fiscal 2015, we generally expect to reach billable milestones on various engineering programs with unbilled receivables. As a result, we expect these receivables to be converted to cash. I will now turn the call over to Shahram Askarpour. Shahram?
Shahram Askarpour: Thank you, Rell. Good morning everyone. Since we spoke just a few weeks ago, let me offer just a quick overview of the status and progress achieved in the first quarter. We have quickly adjusted for the disruptions caused by a large contract purported termination. Costs have been reduced and engineering resources redeployed either to help accelerate and improve the performance of existing programs or to pursue new programs on which we have previously not participated. New business development efforts include more intra-quarter booking ship orders as well as a focus on leveraging the investment we have already made in our portfolio of existing products. We are putting a great emphasis on marketing our existing portfolio of products that as we have expressed in the past delivered gross margins higher than 50%. These initiatives are expected to produce positive results both in the near term as well as over the longer term. Currently, our engineering programs are all progressing well. Finally C-130 program is nearing completion of its flight test certification. The Pilatus PC-24 program is scheduled for first flight in May 2015 and the Boeing KC46A program has entered the flight testing phase with a successful first flight in December of 2014. While the revenues in these programs are not particularly profitable during development phase of the program, once they enter production, they offer stable long-term revenue opportunity. And that opportunity is not included in our backlog. Development program which comprised approximately a third of fiscal 2014 revenues are expected to be replaced with product shipments in fiscal 2015, which should lead to an overall improvement in gross margin. During the first quarter, we began marketing our new Boeing 737 Classis Flight Management, which we believe has outstanding potential with an estimated addressable market of 1300 ship sets. As jet fuel prices dropped that opportunity may improve as additional operators find it more advantageous to refurbish rather than buying new aircraft despite the higher fuel [burnable demand] [ph]. Backlog was $5.8 million in December 31, 2014 and as previously mentioned it does not include the production phase of program that are processing through development such as Pilatus PC-24 and KC46A aircraft. Our focus at this juncture is to rebuild our backlog. However, the longer contract were generally comprised the bulk of the backlog tend to go through a relatively longer sales cycle. We are moving from a period where operations were heavily focused on the engineering and development needs of key programs and products to a period where we can strategically deploy our engineering resources to develop variations of those products that expand our market offering. In both new and existing products, our competitive advantage has been our ability to offer leading price performance solutions that support initiatives such as next generation cockpit technology and system integration. As we pursue our commitment to recover from the dropping our backlog, we are experiencing greater opportunities that could yield significant growth in our market penetration. Our technology is superior and we are determined to succeed by meeting the immediate needs of operators with our Innovative Solutions. I would now like to turn the call back to Geoff.
Geoff Hedrick: Thank you, Shahram. Although quarterly results could be variable, I’m confident 2015 will be a strong recovery and profitable year. In the matter of the dispute with our customer with the purported termination we discussed previously, large contract is preceding to non-binding mediation since all the financial consequences associated with this contract have been eliminated from our financial statements, we believe there is only upside opportunity in the resolution which could benefit – which could potentially benefit our already strong cash position. At the request of the Board of Directors, I’m fully engaged in supporting Shahram and looking forward to the exciting opportunities I believe that are unfolding for Innovative Solutions and Support and our growing reputation for the industry’s best price for performance value proposition. I would like to now turn the conference over to – call in for questions.
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from David Campbell of Thompson, Davis & Company. Please go ahead.
David Campbell: Hello, Geoff and Shahram. Thank you for giving this opportunity to ask questions. I have some sort of a general question. First, it is related to the nextgen directive of the FAA, they seen to be moving better on the nextgen implementation. They have got airports that has been using some of the procedures and saving millions of dollars of fuel and doing it. It seems to be proceeding to generate eventually over $6 billion of business from airlines. Am I correct in and hoping that this – that your equipment, your flight management systems will be needed by some of these airlines to generate the ADS-B and the data communications and the automatic end route communications and so forth, is that – and why did Delta suggest that it doesn’t need the equipment?
Geoff Hedrick: Yes. The answer is yes, definitively yes, actually. We really have a strong – we are building continually building a very strong support for the nextgen systems, which include reporting of ADS-B reporting of the position in 10 of the aircraft and navigation enhancements in multiple different ways even with our ability to enhance existing FMS installations in aircraft that obviates repricing the FMS but puts a large package of ISS equipment in a very much more a cost effective solution. As you know Shahram hired a Vice President of NextGen Programs, who spent the last 10 years working actively and closely with the FAA on nextgen solutions. He is guiding and moving this strategy and doing an excellent job and just recently we have several significant contracts bid just this past week and customers all in this week. So we are seeing a lot of activity. The $6 billion I can’t comment on except that I suspect this is going to be somewhat less than that only because I think our equipment provides a far more cost effective and much more rapid solution to the problem.
David Campbell: So this is a – you are not disappointed at this development continuing to provide potential for the company?
Geoff Hedrick: Oh, no. I think it’s absolutely terrific. Remember that the program that’s now in question was never our original intension to take that. We pursue that program in support of our customer which we believed would be a broader customer in 57, 67 et cetera. In fact, we were told directly that was why we should take this program. We recognized that it was substantially a dead-end program, I mean except that if we would have applied a flight management technology to another aircraft. We have proven the performance and through FAA acceptance of our performance and the FGC certification of our 737 Flight Management System on the airplanes. And comments from the pilots that said flies like a dream, it’s outstanding. So we are delighted. We are very pleased. And we have another major FMS program in work now that opens an opportunity for literally 100s of millions of dollars of additional business. So we now can take our resources that were formally applied to the program that we discussed and now applied to the broad range of opportunities that we see out there and which have a significantly larger follow-on opportunities. We respect our customers’ ability to change direction in response to the demands of their airline. That’s intrinsic in any deals that you ever make with a customer in the industry. Unfortunately, we expanded an enormous amount of resource – committed resource to that program it could otherwise have been applied to some of these other ones. So we are in a little bit of a catch up situation. But, we are doing well. We are doing remarkably well. And Shahram is very engaged in doing a great job. So I’m enthusiastic and I’m hoping that I can go to Florida some day and can use [indiscernible] for three months.
David Campbell: Well, we don’t spend too much time down there. We need you in [indiscernible].
Geoff Hedrick: Unfortunate to have Shahram here. We work well together and he is going a great job. So I think we are going to do fine and find ourselves in some respect of recovering stronger. And you can start seeing the business realize profits and profitability more consistent with historical norms. The mass of development programs that we engage, there were three big ones going on at the same time. And it may – and each one tended to impact the other. So straightening this out should be – help us enormously.
David Campbell: All right. Thanks. On the expense side, Rell and you mentioned that expenses will be going down in the future quarters. Are you talking SG&A or are you talking R&D, what expenses precisely will be going down?
Rell Winand: Yes. All the move should be.
Geoff Hedrick: Manufacturing as well.
Rell Winand: Or across.
Geoff Hedrick: There is one thing we know what we are doing – we know how to manage our resources. I mean we continue to invest a great deal of my proportionately almost disproportionately high investment and engineering development. And we obviously don’t keep people in the overhead unnecessarily. So it’s been and across the board evaluation we have done forth ranking of every individual every month. And so that we were sure that we are not losing any of our key people. So – it’s actually a very – ultimately a strength of the exercise.
David Campbell: The EMD revenues were more than I thought they would be in the quarter. They are going down substantially though in the next few quarters, are they not?
Rell Winand: Yes. I said before they are ramping down. So they will be – less than what they have been recently.
Geoff Hedrick: And similar people supporting EMD programs are contractors and they will – if they are not needed for some other critical program that comes to life. In the interim, they will leave. So we got to manage out for the next four months. I mean we have looked at very carefully. And to be blunt with you, when you are a small business, you have to do that kind of thing you have to think about every single person and every single resource in the organization to make sure that you manage it correctly.
David Campbell: I mean how much of the book – how much of the product deliveries were roughly – what percentage of that was the booking delivery or the booking order – order and book – I’m sorry booking delivery business, the air data base?
Rell Winand: We don’t break that out. We just show product as one continue.
Geoff Hedrick: It’s still a good strong product and we are doing it. And it has real life left in it for the foreseeable future to be one. We continue to make improvements in new products. Now, we make a standby for a number of programs now that has air data and building that looks like an expanding program just we are able to offer some features for nextgen in that product. So it’s really exciting.
David Campbell: All right, all right.
Geoff Hedrick: I think one of the programs and one that should turn in quickly and I think – and I think relatively low risk as well.
David Campbell: Right, right. Okay. I will turn it over to someone else. Thank you very much.
Operator: Thank you. [Operator Instructions] Showing no more questions. This concludes our conference for today. We thank you all for attending today’s presentation. Have a great day. And you may now disconnect your lines. Thank you.